Operator: Good afternoon, ladies and gentlemen. Welcome to the Q3 2017 report to shareholders and other matters conference call. I would now like to turn the meeting over to Mr. George Liszicasz. Please go ahead. 
George Liszicasz: Thank you very much, Patrick. Welcome to today's investor conference call hosted by NXT Energy Solutions. I apologize for my voice a little bit. We know people are sick around here today, and so I'm one of them probably. 
 My name is George Liszicasz, President and CEO. And with me today is Enrique Hung, Director of Geosciences for Latin America; and Sajid Sayeed, Director of Global Business Development. Due to prior engagement. Bev Stewart, our CFO, is unable to join us today.
 The purpose of today's call is to briefly discuss the highlights of the recent release of the Q3 2017 reports to shareholders, which I hope you had a chance to review followed by an update of our ongoing business. This conference call is, of course, contains forward-looking information, and so therefore, cautioned with standard disclaimer as we applied that such information is, by its nature, uncertain and often uncontrollable, and therefore, future results may vary from the estimates and expectations.
 On our SEDAR system in Canada and on EDGAR in the U.S.A., you can find our Q3 2017 report, which includes the MD&A and the related financial statements. All amounts discussed today are in Canadian dollars, unless otherwise noted. For the third quarter of 2017, we reported no revenue and total expense excluding tax for the period of $1.9 million.
 Since there were no tax charges in the quarter, the tax -- aftertax expense was also $1.9 million or $0.04 per share, based on 53.8 million common shares outstanding. It should be noted that the loss of $1.9 million includes noncash expenses of roughly $617,000, which relate to amortization and stock-based compensation expense.
 The Q3 results also reflected survey costs, $262,000 which relate to the operating and lease expenses of the aircraft. These were higher in Q3 2017 than in Q3 2016, as they included the net lease cost approximately $111,000, which were not in the 2016 figures.
 The G&A costs for the quarter were $1.01 million compared to the $1.12 million in Q3 2016. The cost reduction program that was introduced in late Q1 2017 is showing positive results. Staff costs have decreased over 10% and business development costs by approximately 57% compared to Q3 2016. Overall, G&A costs are approximately 12% lower to date -- year-to-date 2017 than for the same period in 2016. Further reductions in headcount have been made in Q4 as the cost-reduction initiative continues.
 Our net cash outflow for the quarter was $1.65 million, resulting in approximately $130,000 in cash reserves at the end of September. As I am sure that you are aware, NXT announced the rights offering in late September that closed on October 31. We are delighted to announce that over 40% of our existing shareholders participated for a total subscription of approximately 2.1 million, and we wish to thank our shareholders for their continued belief in and support of NXT.
 Now we are going to turn our attention to the business development, and I will give you an update. In 2017, NXT has been granted important patents, confirming the validity of the SFD technology. To date, NXT has either received or have been notified of pending patent awards from over 40 countries, including U.S.A., Japan, Canada, Russia and EU. This recognition has translated into our ability to approach major players at both the NOC and IOC levels. Acceptance of the technology-enabled NXT to conduct both multi-client and proprietary surveys in various parts of the world with the potential participation of these international companies.
 Let us now continue with the business opportunities update related to the establishment or the development of the following countries: Sri Lanka, we have been informed that the Project SHINE founders are engaged with the government of Sri Lanka and the authorities towards finalizing a formal agreement. We remain confident of a successful outcome soon as we do not see any concerns for this project moving forward other than procedural delays.
 With respect to Ghana, our proposed SFD survey project on the onshore Volta Basin of Ghana continues to be of critical interest to GNPC, which is the national company of Ghana. We continue to wait for internal government approvals.
 Malaysia and Indonesia. We have made substantial progress with several prospects in the region. With regards to conducting strategic SFD surveys, we are in advanced stages of discussions, and we are pleased with the progress being made. We anticipate significant developments in the upcoming weeks.
 Dominican Republic. Since our last update, I'm pleased to report that our project proposal has received the requisite administrative and technical approvals and is awaiting final procedural executive endorsement.
 Let us now turn our attention to projects and opportunities relating to multiclient and proprietary surveys that are also -- that we are also actively pursuing. Multiclient SFD surveys in early June that we conducted in the Gulf of Mexico. As you are aware, NXT has recently acquired and interpreted complete high-quality grid survey over the GoM, which is the Gulf of Mexico, shallow water, 2.1 blocks. Actually, it's about 15 blocks altogether. NXT continues to market this dataset aggressively, both as a stand-alone offering and as a lead in to other projects with the block of stakeholders. Significant interest has been indicated today. 
 A windfall from the GoM survey and marketing efforts has been increased client interest in new SFD service in the Caribbean and South American regions. Sufficient interest has been received by NXT, such that the company has allocated resources to aggressively pursue these opportunities.
 Repeat business. NXT is pleased to report with improved commodity markets, past clients have allocated significant new exploration budgets and are in consultation with NXT for new surveys. The most advanced of these opportunities are currently in South America, actually, Latin America, including Mexico and Asia. We are very excited about these prospects as they have already caused both the technical and procurement qualification stages. We will keep you appraised of these opportunities as they develop.
 Enterprise liaisons. NXT is pleased to report that it has made substantial inroads with a world-renowned G&G data provider, geological and geophysical service provider, to host our proprietary SFD data bank on their global upstream platform. A successful outcome of this project would afford SFD data worldwide exposure on a platform that is utilized by exploration and production professionals on a daily basis.
 Furthermore, NXT continues to cement its relationships with prominent seismic providers in order to provide a truly vertically integrated upstream product. We believe this multifaceted approach is an important step in diversifying and stabilizing NXT's marketing base and opportunity pipeline. This will ensure the sustainable growth and success of our business.
 Since the end of Q2, we have reengaged highly regarded sales representatives in Latin America, on a success-only basis, who bring a wealth of experience and strong industry contacts. These representatives are former industry champions and have brought significant SFD contracts in the past.
 In conclusion, the Board, the management and the employees of NXT are extremely thankful to their shareholders for their unwavering support in these trying times. As you know, we are rightsizing the corporate structure in the process of bringing in -- and in the process of bringing in significant capital markets and industry experience. We look to your continued support whilst we work towards translating the previously mentioned opportunities into revenues. 
 I now ask the operator to open the line for us and take a few of your questions, please. 
Operator: [Operator Instructions] 
 I have a question from Peter Mark. 
Peter Mark: I've got a question, maybe one for each of you, if I could. I'll throw them out and then I might just jump off the line, so -- it's pretty loud here. So first off, maybe for George it would be a question. There was some press release on some additions to the management team that were being looked into. Any update you could give shareholders on that? 
 Number two, just with regarding some of the NOC contracts and some of the first initiatives that were laid out, maybe for Sajid. I know George, kind of, threw in there, "Hey, there's some developments, maybe upcoming weeks." But end of the year, any additional color that you can give us on any of the progress being made there in Malaysia, Sri Lanka and beyond? 
 And then lastly, maybe for Enrique, there's -- there was a big fine in the Gulf of Mexico, and I just saw that there was another onshore fine that PEMEX was talking about. Were those areas that you guys have data on? Does that increase the interest with the multiclient survey that you guys finished up in June? And I'll jump off the line and let you guys answer. 
George Liszicasz: No, don't jump off the line because we don't hear any background noise, Peter, and thank you very much for calling in. We all really appreciate that. With respect to the first question, in addition to the current management team, we are in the final process that has some issues regarding regulatory issues and so on and so forth before we can conclude the -- bringing in this very important person from England to join our management team here with tremendous capital markets experience, industry experience, young, energetic bright, brilliant. I mean, you can just use any words that will describe him in a wide range of attributes. I believe that he's going to contribute significantly to our success in the future. He has access to capital markets there. He has access to all the companies, all the oil and gas companies. He has financed to the tune of $46 billion in various international companies and he is -- just to put it mildly, he is pumped to come and join us. 
 So -- and we are also -- but we have to go through these processes, unfortunately, that is out of our hand at the moment, but we are very, very hopeful that it's going to conclude very shortly. So that's my part of the answer. 
 And I would like to ask either of you, whichever wants to start, either Enrique or Sajid. Sajid is going to start first with respect to Malaysia and so on. Go ahead. 
Sajid Sayeed: Thank you, George, and thank you for the question, Peter. With regards to the ongoing prospects that we have been working on, there is no secret that we are also quite frustrated with the delays and the slower time that it has been taking. Nevertheless, we are very confident and we remain very positive and confident that these projects are going to come through because we are in touch very closely with the people who are working on these projects: the client, the funders and the agents who are facilitating this. And we are aware of all the steps that are being taken and where they are at. It's unfortunate that all government regulations in every country is different. Their processes are different. The procedures are time-taking. 
 Nevertheless, people are in discussion, are engaged on almost day-to-day basis with regards to these projects to bring them to fruition and work towards a formal award. And we are quite confident, but unfortunately, we are not able to put a time line, a specific time line to it. However, we are holding people accountable for their commitments, and we are following up very closely. We believe in the coming weeks, we should see some traction. But I would not like to put a date or a time line because we haven't been given that yet, but they are all engaged, they are all positive. 
 We had a recent trip to Malaysia and Indonesia as well. Things are progressing quite well there. The multiple potential clients, who are looking forward towards an SFD survey, as you would see in the marketplace, the biggest challenge is finding -- making a significant find. And SFD with the virtue of its technology and its efficacy, we are elephant hunters; that's what we focus on. And these -- in Malaysia and Indonesia, the prominent known basins, producing basins, they are looking for a major discovery as opposed to a small discovery.
 One of the interesting stats that came across my desk a few days ago was, in 2016, there are about 430 wells drilled globally, out of which just 174 came through, and the total discovery amount is about 8.2 billion barrels. And looking at the forecast, where OPEC has fished in about 1.5 million barrels demand per day in 2018, this kind of discovery is not going to sustain the supply and demand ratio on a global scale in the next 5 years. 
 So everybody is out there for a bigger find, and SFD carries that possibility. And there are not many technologies out there that gives them that kind of a potential to find a bigger find and a significant find with a greater success rate. So these factors are playing in very well in Asia, for us, and other places too, but since you've just been to Malaysia and Indonesia and we've spoken to the prospects there, we see a great potential. 
 They have rapidly accepted the value of this technology and the exploration process, and they are in deep discussions with regards to significant projects that very soon we'd be able to talk a bit more detail and give you a better picture on, very soon. 
George Liszicasz: I just would like to inject something. I would like to inject something that -- just to add something to Sajid's comment. Also, when they were down -- the team was down in Malaysia and so on. Of course, we met everybody that counts, that is important to us, and also discuss purchasing data, existing data in the Gulf of Mexico and so on. So it includes the majors, super majors and smaller companies and the governments as well. 
Sajid Sayeed: Yes. The data that SFD has is taking a lot of prominence now. Earlier, it was fly and find out, now you have data that you can do comparisons with existing data that they have and do correlation studies, which speaks volumes, which is a very strong sale point for us, and we are capitalizing on that as well. Over to Enrique. 
Enrique Hung: Well, thank you, Peter, for the question. And I was just checking real quick Veracruz because it's also recent. The news came up on November 3, unfortunately, or you can see it as an opportunity, this offshore area -- or onshore area in Veracruz does not have SFD data on it. But this just tells you about how rich is this basin or these basin areas, producing oil in big quantities. 
 Just recently, Zama, during the summer was discovered by Sierra and Talos and these companies. And we do have some data capture on this particular discovery, and we are using this with clients to show the effectiveness of the new sensors and the old sensor. Both are confidentially -- or not confidentially, but confidently showing the anomaly right on. I have beautiful slides for it for my client, and this is something that brings me very pride to show in my presentation for clients and friends. Transform the network for geoscientists. 
 Yes, it's a rich basin, and we are fortunate to have data in and to be authorized to get more data in the Gulf of Mexico. And in the same way, we are doing more surveys and more -- keeping up the efforts in the rest of Latin America and globally. 
George Liszicasz: You need to talk about -- there was 1 more question. There was NOCs. 
Sajid Sayeed: I can speak to the NOCs. Our strategy, which has been there for quite some time, focusing on NOCs hasn't shifted. It's just that we have added on more potential clients and different strategies on a global scale. We are focused on NOCs on a global scale. Yes, we are in discussions with a number of them, but when we get further traction and we are talking towards a significant project, we see a significant development there, we will definitely speak to it and we'll keep you all informed of the developments. But we are engaged with a number of NOCs on a global scale, yes. 
George Liszicasz: Yes. And also international companies in South America. 
Sajid Sayeed: Yes. 
George Liszicasz: Okay. We don't want to say more. 
Sajid Sayeed: I don't want to commit very much. 
George Liszicasz: Peter, anybody else has a question to us or for us. 
Operator: [Operator Instructions] There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Liszicasz. 
George Liszicasz: Thank you very much for everyone to participate in our investors conference call. I really appreciate it personally, your support and looking forward to the next call. And hopefully, we're going to be able to add a lot more information at that time. Thank you so much. 
Sajid Sayeed: Thank you. 
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and thank you for your participation.